Operator: "
Phillip Yeager: "
Kevin Beth: "
Scott Group: " Wolfe Research
Bascome Majors: " Susquehanna Financial Group
Unknown Analyst: "
J. Bruce Chan: " Stifel, Nicolaus & Company
Jonathan Chappell: " Evercore ISI Institutional Equities
Brian Ossenbeck: " JPMorgan Chase & Co
Brady Lierz: " Stephens Inc.
Daniel Moore: " Robert W. Baird & Co.
Elliot Alper: " TD Cowen
Michael Triano: " UBS Investment Bank
Brandon Oglenski: " Barclays Bank PLC
Operator: Hello, and welcome to the Hub Group Third Quarter 2025 Earnings Conference Call. Phil Yeager, Hub's President, Chief Executive Officer and Vice Chairman; and Kevin Beth, Chief Financial Officer and Treasurer, are joining the call. [Operator Instructions] Statements made on this call and in other reference documents on our website that are not historical facts are forward-looking statements. These forward-looking statements are not guarantees of future performance and involve risks, uncertainties and other factors that might cause the actual performance of Hub Group to differ materially from those expressed or implied by this discussion and therefore, should be viewed with caution. Further information on the risks that may affect Hub Group's business is included in the filings with the SEC, which are on our website. In addition, on today's call, non-GAAP financial measures will be used. Reconciliations between GAAP and non-GAAP financial measures are included in our earnings release and quarterly earnings presentation. As a reminder, this conference is being recorded. It is now my pleasure to turn the call over to your host, Phil Yeager. You may now begin.
Phillip Yeager: Good afternoon, and thank you for joining Hub Group's third quarter earnings call. Joining me today is Kevin Beth, our Chief Financial Officer, and Garrett Holland, our Senior Vice President of Investor Relations. Before we begin our review of the current market and Hub Group's performance, I wanted to thank all of our team members across North America for their constant effort and focus on delivering for our customers and organizations in this evolving environment. I'd like to begin by discussing near-term market conditions and our current viewpoint on supply and demand dynamics. International shipping volume was pulled forward in the third quarter, but we did not see that inventory materially begin to impact domestic shipping until following the Labor Day holiday. This has led to a delayed West Coast peak season from what we originally anticipated. Strong West Coast shipping demand in September continued through October, and our customers are indicating that will be maintained into November, which is much closer to typical seasonality. We believe that the recently established regulatory requirements in our industry will be a positive catalyst to balance the supply of capacity and with active enforcement and demand strength should lead to improving market conditions over time. These factors, along with our investments in our intermodal business and the prospects of a Transcontinental Rail merger are creating a more positive framework for 2026 bid season and beyond. As we referenced in our call last quarter, we are excited about the opportunities that a potential merger between our primary rail partners presents to drive increased intermodal conversion in shorter-haul lanes while growing share gain opportunities due to reduced transit times and improved service performance. These improvements would enhance asset utilization and in aggregate, reduce overall costs, leading to significant opportunities for growth. In the current market, rail services remain strong, and we are excited about the new lanes we are offering our customers in conjunction with our rail partners. In particular, the launch of a new integrated service in Louisville has led to conversion of existing volumes running less efficiently over Chicago and new customer wins in a short time frame. We believe we are well-positioned to drive growth in the months ahead as bid season kicks off and over time, as the merger process progresses. We have remained focused on our strategic priorities and executed well in the third quarter. We closed on the acquisition of Marten Transport's Intermodal division, adding scale to a fast-growing and higher-margin segment of our Intermodal business. We also closed on the acquisition of SITH LLC, adding additional full-service locations and scale in Final Mile. We completed these while returning capital to shareholders, executing on our cost reduction program and maintaining excellent service for our customers. In ITS, we delivered strong results with revenue that was slightly up and operating margins that improved 20 basis points year-over-year due to strength in Intermodal, which was offset by declines in Dedicated. We performed well in Intermodal with slightly improving volumes following double-digit growth in the third quarter last year as we are providing an excellent value proposition with our rail partners. As mentioned, peak volumes were not recognized in the quarter until September and have continued into the fourth quarter despite a pull forward of inventory. Transcon volumes declined 1%, Local West declined 2%, Local East declined 12%, while we grew Mexico nearly 300% and our refrigerated business 55% in the quarter. Revenue per load increased 2% due to improved mix, peak season surcharges and more balanced pricing. We have also reduced costs in our network through lower linehaul costs, improving our in-sourced trade percentage by nearly 700 basis points and decreasing our maintenance and repair costs through higher in-sourcing levels. These improvements were offset by headwinds and repositioning costs to support peak demand at the end of the quarter and higher insurance costs. Overall, we are pleased with the momentum in our Intermodal business and the investments we are making to deliver growth. In Dedicated, higher volumes and revenue per tractor per day with core customers was not able to offset lost sites, impacting both revenue and profitability. We reduced equipment, maintenance, insurance and third-party carrier costs while onboarding new business in the quarter, which helped to balance revenue headwinds. We are actively reallocating assets in preparation for growth with new and existing customers and believe that our high-end service capabilities, geographic density and dynamic model position us well for growth in the current market and the shifts in capacity occur. In the logistics segment, revenue declined 13% year-over-year, but we were able to improve operating margins by 10 basis points as our cost containment initiatives and performance in Final Mile and managed transportation helped to offset headwinds in brokerage. Last quarter, we announced significant onboardings in our Final Mile business totaling $150 million in annual revenue. Those onboardings are taking place now, and we are ramping volumes consistent with our expectations. The timing of the start-ups was delayed, but we are excited with the growth we are having with our customers as well as the integration of our most recent acquisition. These onboardings are helping to offset softness in our legacy Final Mile customers and position us well for strong growth in 2026. In CFS, we are executing on in-sourcing space in our remaining third-party locations with a focus on maximizing our space utilization, which improved by 1,400 basis points year-over-year while delivering improved site productivity. The integration will be completed by the end of the first quarter of 2026 and along with new onboardings we brought on in September and have scheduled in the fourth quarter, will help drive further improvements in our margins. In brokerage, we continue to face headwinds with soft demand and limited spot market activity. We executed on a restructuring of the business during the quarter, which reduced costs and enhanced productivity by 7% year-over-year, while focusing our team on higher profitability areas to serve our clients. Volumes declined 13% and revenue per load was down 5% in the quarter. However, we believe the actions we are taking to right-size our business and focus on revenue quality will position us for success in the future. Managed Transportation has performed exceedingly well, and we have new onboardings we recently signed, which will help deliver further growth. Our productivity has improved over 50% year-over-year, enhancing our margins due to our investments in automation and technology. We are excited about the momentum we have in this business due to the savings and visibility enhancements we are delivering to our customers. We are focused on controlling what we can control in this dynamic environment. We are reducing costs while investing in our business to deliver results in the near and long-term through our scale and integrated product offering. We are excited about the performance that our team is delivering and believe we are well positioned as an organization to support our customers and deliver for our shareholders. With that, I will hand it over to Kevin to discuss our financial performance.
Kevin Beth: Thank you, Phil. I will walk through our financial results before commenting on our outlook. Our reported revenue for the third quarter was $934 million. Revenue decreased by 5% compared to last year but increased 3% sequentially. ITS revenue was $561 million, which is slightly greater than prior year's revenue of $560 million as steady Intermodal volume and 2% growth in revenue per load was partially offset by lower Dedicated revenue in the quarter. Additionally, lower fuel revenue of approximately $8 million negatively impacted the top line. The logistics segment revenue was $402 million compared to $461 million in the prior year due to lower volume and revenue per load in our brokerage business, exiting of unprofitable business and select customer attrition in CSS and sub-seasonal demand in Managed Transportation and Final Mile businesses. Lower fuel revenue of $6 million in the quarter also contributed to the decrease. Moving down the P&L. For the quarter, purchase transportation and warehousing costs were $684 million, a decrease of $56 million from prior year due to strong cost controls as well as lower rail and warehouse expenses. This resulted in a 180-basis point improvement on a percent of revenue basis when compared to Q3 of 2024. Salaries and benefit expenses of $143 million were stable compared to the prior year as the impact from the EASO transaction offset expense initiatives. Total legacy headcount, which excludes acquisition employees, drivers and warehouse employees declined 5% from the prior year as we continue to manage headcount across the organization. Depreciation and amortization decreased $1 million over Q3 2024 due to our updated useful life assumptions. Insurance and claims expense were largely unchanged from prior year as we continue to realize benefits from our safety focus and training programs. Our general and administration expenses declined by $3 million or 9% year-over-year. Altogether, our adjusted operating income decreased 4% year-over-year, but our adjusted operating income margin was 4.4% for the quarter and increased 10 basis points over the prior year. The IPS quarterly adjusted operating margin was 2.9%, a 20-basis point improvement over prior year. The third quarter logistics adjusted operating margin increased 10 basis points year-over-year at 6.1% despite the challenging brokerage environment and demand headwinds. Adjusted EBITDA was $88 million in the third quarter. Overall, Hub earned adjusted EPS of $0.49 in the third quarter, down from adjusted EPS of $0.52 in Q3 2024. Now turning to our cash flow. Cash flow from operations for the first 9 months of 2025 was $160 million. Third quarter capital expenditures totaled $9 million, with spending weighted towards technology and warehouse equipment investments. Our balance sheet and financial position remains strong. Through the third quarter, we returned $36 million to shareholders through dividends and stock repurchases. We also closed on the acquisitions of Marten Intermodal assets and West Coast Final Mile provider, SIS LLC during the quarter. Net debt was $136 million, which is 0.4x adjusted EBITDA, below our stated net debt-to-EBITDA range of 0.75x to 1.25x and includes the Marten transaction. Adjusted EBITDA less CapEx was $79 million in the third quarter. We are pleased with our adjusted cash EPS of $0.60. The spread between adjusted EPS and adjusted cash EPS was $0.11 for the quarter, and we ended the quarter with $147 million of cash and restricted cash. Turning to our 2025 guidance. We expect full year EPS in the range of $1.80 to $1.90 and revenue of $3.6 billion to $3.7 billion for the full year. We project an effective tax rate for the year of approximately 24.5%. We also expect capital expenditures to be less than $50 million for the year. Recall, the upper end of our prior revenue and EPS guidance ranges reflected benefits from a healthy peak season and related surcharges, along with the onboarding of sizable Final Mile business awards. Outside of quarter end activity, peak season has been muted to date rather than a stronger return to seasonality. Execution for the Final Mile awards has also been solid but start dates for some markets have shifted into the fourth and first quarters. The team continues to realize targeted cost savings, but benefits have been offset to a degree by revenue pressure. Given muted demand and continued low visibility, we tempered expectations for the fourth quarter and narrowed our outlook accordingly. This outlook implies sequentially lower adjusted EPS during the fourth quarter at the midpoint. Realizing the upper end of our revenue and EPS guidance range would reflect a strong finish to peak season. The path to the lower end of the current guidance range would reflect further weakness in freight market activity. For the ICS segment, the Intermodal business continues to cycle challenging volume growth comparisons from a year ago, but revenue per load trends should continue to slowly improve in the stabilizing pricing environment. Lost sites and customer activity in the competitive one-way market are expected to continue to weigh on Dedicated's performance. For logistics, excluding our brokerage business, during the fourth quarter, we expect further progress onboarding new Final Mile awards, sustained stronger profitability in Managed Transportation and stable CSS results sequentially. For brokerage, we expect volume pressure continues in the near term and weighs on logistics segment profitability. Market optimism to start the third quarter around the stabilizing tariff backdrop and potentially stronger peak season gave way to sustained softer demand across end markets. Nevertheless, the team was able to deliver improving margin performance year-over-year and sequentially for both the ITS and logistics segments. Hub Group is not assuming market conditions quickly change and remains focused on execution. We remain confident in achieving the targeted $50 million of cost savings on a run rate basis by the end of the year and work to continuously improve profitability across business lines. Margin improvement and solid free cash flow through this challenging freight recession underscores the resilience of our operating model. The acquisition of Marten Intermodal also reflects our disciplined approach to capital deployment. Focused growth, cost controls and capital deployment should continue to support performance until the freight market conditions improve. We continue to manage the business for long-term growth, higher returns on capital and resilient free cash flow generation. With that, I'll turn it over to the operator to open the line to any questions.
Operator: I would also like to remind participants that this call is being recorded, and a replay will be available on the Hub Group website for 30 days. [Operator Instructions] Our first question is from Scott Group of Wolfe Research.
Scott Group: So I think your call last quarter was like right after the UP-Norfolk announcement. And so, 3 months later, I'm guessing you've had some time to talk with customers. We're seeing some share shifts; IMC is moving some stuff around from one rail to another. I'm curious what you're hearing from customers. Do you think as you approach 2026 bid season, is there an opportunity for you guys to take share ahead of the merger closing, just sort of getting on to this combined UP-Norfolk early? Just overall, what you're hearing from customers, how you think you're positioned?
Phillip Yeager: Yes. Great. Thanks, Scott. This is Phil. Yes, I think you're exactly right. We do look at some of the shifts that are occurring as an opportunity. We already have a great service product that we're delivering with Norfolk in particular, as well as GP. But with that capacity shift, there's now capacity available for us to sell into. As we enter bid season first and second quarter, we're going to have in bid over 80% of our intermodal network, and we think we have a great value proposition to go out and compete and win. I've been out visiting with a lot of customers. There is an extremely high level of engagement around this merger process. I think our customers see it as an opportunity not only to engage on new service, but a more resilient service as well as the market is likely going to be tightening given hopefully a positive demand backdrop. So, I think the announcement of partnerships and the new lanes from Louisville are a great positive for us as well and things that we can engage with our customers on. But I would tell you, the feedback is overwhelmingly positive. We're excited about it and think it positions us well for this upcoming bid season.
Scott Group: Can you give an update on sort of volume trends throughout Q3, what you're seeing so far in Q4?
Phillip Yeager: Yes, sure. Yes. So, we did see a little bit of a later peak than we had originally anticipated just given that air pocket and then the surge of incoming international demand. We expected that to flow through to the domestic side a little bit sooner than it did. So, July was flat. August was down 5%. September was up 6% and then October month-to-date is up 3%. And I would tell you the last couple of weeks here in October have been really strong. We're excited to see that momentum in discussions with customers. We're anticipating some of that demand will likely continue through November, leading up to the Thanksgiving holiday. I think it gets a little unclear after that. Typical seasonality would tell you things start to slow down at that point. But given the diversification we've done in our business model as a whole, that's really when we start to see our Final Mile business and e-commerce businesses start to ramp up, which can offset some of those headwinds.
Kevin Beth: And Scott, this is Kevin. I just like to point out, there is a business day difference where August had 1 less business day and September had one more. So those sort of canceled each other out. But we are excited and wanted to point out, we have had 6 consecutive quarters now of intermodal growth.
Scott Group: And then just lastly before I pass it on. You guys talk a lot about the free cash flow the business is generating. We've got you doing over $150 million of free cash flow this year. You're well below your leverage target and you bought back like, I don't know, $30 million or so of stock this year. Like why aren't you doing more with the cash you're generating in the balance sheet?
Kevin Beth: Yes. So good question, Scott. This is Kevin again. It's our capital allocation plan that we invest in our core business, we look at acquisitions and then we look at our capital allocation and how we get back to our shareholders. We feel that we've done all of those this year. We've had -- our CapEx has been a little muted compared to some prior years as we don't need to add additional containers. But we're still seeing our same $20 million to $25 million of IT enhancements, and our tractor replacement cycle has continued on as well. We spent over $50 million in acquisitions this past quarter with the Marten acquisition and the SITH LLC. And then we're still returning to our shareholders with our dividends, which we had another $7.5 million during this quarter. So, between all of those and the exciting pipeline that we feel we have on an M&A side, we think that we are allocating our cash effectively and think that we're doing the right things for the long-term of the business.
Operator: Our next question comes from Bascome Majors of Susquehanna Financial Group.
Bascome Majors: Maybe to follow up on Scott's opening question here. If you're successful in using your rail alignment to really grow share next year, what's the time line of when that could really show up in volumes, gross profit, bottom line? Just trying to understand when the opportunity and conversations happen and when the financial benefit, if you're successful, will really show up for us.
Phillip Yeager: Sure. Yes. This is Phil. I think if you look at our bid schedule, it's actually gotten pulled forward the last several years. And our anticipation is that this year will be similar, just given some of the unknowns, our customers are trying to make sure they lock in capacity early. We are having really good dialogue with many of our customers as they're kicking off their RFP events. We do think about, call it, 48% or so, which is similar to this year will be bid and effective in the first quarter. And then we see bid and effective, call it, another 38% in the second quarter. So, you're talking about the vast majority of that business being in RFP and being effective in the first half of the year. And so that would be likely the timeline where you'd really start to see that take hold, I would say, call it, the second half of the year.
Bascome Majors: And just when you say bid and effective in the quarter, you mean by the end of the quarter?
Phillip Yeager: Yes, sir.
Bascome Majors: It's actually moving.
Phillip Yeager: Yes. The effect of the implementations typically will kind of move throughout a quarter, but the vast majority go in at the end of the quarter and then are effective starting that following quarter.
Bascome Majors: And in shorter-term, I mean, the midpoint of your guidance, which you called out, looks for earnings decline in the fourth quarter. Can you walk us through how you feel about seasonality in the first half of next year before this business potentially starts to ramp? Just to kind of level set the starting point for next year or before second half that looks like it could be very strong.
Kevin Beth: Sure, Bascome. This is Kevin. We think that we're going back to more of a normalized seasonality, which has been very hard the last couple of years between COVID and tariffs and the pull forward last year on -- related to the East Coast, West Coast port authorities and strikes. So, what we're anticipating is unlike what we saw in '25 with the pull forward in the first quarter is that we would see first quarter be sequentially down from fourth quarter and potentially the weakest quarter of the year. And then you'll see the ramp-up as we hit sort of that peak season in spring for the home improvement companies. And then you have a little lull there at around the holidays, Memorial and 4th of July and then a stronger third quarter leading into the peak season that we're in now. So, a little more normalized. But again, that is something that has been a couple of years since we've seen.
Operator: Our next question comes from Richard Harnan with Deutsche Bank.
Unknown Analyst: So, gentlemen, we recently heard from one of your key railroad partners discussing some more aggressive competitive dynamics in association with its pending Transcontinental Rail merger. So maybe you can talk specifically about that. Are you noticing more aggressive competition? Is that allowing you to take more opportunity as maybe your rail partners lean into trying to capture more growth? Or is it making it more challenging? That's my first question.
Phillip Yeager: Sure. Yes. This is Phil. Yes, I'd say it's definitely an opportunity, right? And you see volume moving off of one of our rail partners. There's certainly a desire and alignment to make sure that we can get that business back moving on their network. And we think we have a very strong value proposition to go deliver on that, both on service and costs. And so, I would tell you there's a great deal of alignment as we enter bid season and feel we're in a good position to go out and compete.
Unknown Analyst: And then just could you tell us where we are with respect to like the Marten acquisition? So I think you said Kevin, down earnings in Q4. But I would think that with the Marten acquisition, you're talking about bringing that on and being accretive. So curious how that factors in and if like the volume figures you shared were inclusive of Marten, just like level set where we are in that acquisition.
Kevin Beth: Yes. Thanks for the question. Yes. So, Marten, we do expect to be slightly accretive this quarter. They just came on. We closed the deal the last day of the quarter. So, we're seeing that volume today. But right now, as we look ahead, we're still not sure exactly how long peak season is going to last. We do have some late year degradation of margins in both Dedicated and in Intermodal as you're using a lot of fixed cost and not the right amount of volume to utilize all that around the holidays. So that is sort of what standard happens in the ICS segment. And then on the logistics side, we do have -- while we have new business coming on in Final Mile, we do have some start-up costs that is going to pressure that -- those margins as well. So, between those things, right now, that's our best estimate of what we're going to see here in fourth quarter.
Operator: Our next question comes from Bruce Chan of Stifel.
J. Bruce Chan: Maybe just to start, I want to make sure that I understand the peak comments correctly because you said that it's been stronger in September and you expect some of the strength you've been seeing through October to continue into November, but you're also tempering the midpoint of your guidance on lower peak volumes. So maybe just help me to synthesize that, if you could.
Phillip Yeager: Sure. Yes. I think the main thing is follow typical seasonality would tell you around or after the Thanksgiving holiday, intermodal volumes just start to slow down. And I would anticipate a sequential slowdown from October into November leading up to that point. So, it's really just the conclusion of peak that impacts the ITS margins on a sequential basis. From a logistics perspective, the new volume and business wins that we're bringing on both in CFS as well as in the Final Mile business are helping to keep us in a more stable footprint Q3 to Q4, where we are anticipating a similar sort of impact for brokerage, which would soften in the December time frame. Now if we see things continue and November is more robust, that's certainly upside. If it continues like it did last year into December, that's certainly upside, but we were trying to build in what typical seasonality would tell you and obviously, dialogue with our customers around their expectations. But demand has been great in September. I think we did a really nice job. October was also very strong. And so, it's good to see a peak. And I would just also highlight that sets up a more positive framework for discussions as we enter this season as well.
Kevin Beth: I would like to just point out, though, last year, fourth quarter, we had $4.5 million of peak season surcharges, and we're not expecting to be anywhere close to that this year. On to the point, that it went all the way through the end of the year and well into January. And really, I think that was the pull forward of the port strike. So, I don't -- we don't see that phenomenon this year.
J. Bruce Chan: That's helpful. Maybe just a follow-up on that point. I guess, how are you feeling about your ability to cover any peak repositioning costs here with your surcharges just given that the volume expectations are maybe a little bit in sharper focus. And then if we do see that stronger peak materialize, are you going to have an offsetting impact on the margins?
Phillip Yeager: No, no. I think we've done a really good job on our empty repositioning plan. We had some elevated costs in the third quarter, which were more than offset by surcharges, and it would be the same outcome here. And we're pretty diligent on setting those plans, making sure we have clarity with our customers on their expectations and then being in a position to support. So, I wouldn't anticipate repositioning costs have a material impact in a negative way at all.
Operator: Our next question comes from Jonathan Chappell of Evercore ISI.
Jonathan Chappell: Still, I want to tie a couple of things together here because it may be the most important thing, I think, as we try to transition to '26. You said 48% bid effective 1Q, 38% in 2Q. We have the potential positive tailwinds from the merger and maybe there's some clarity on it by that point, but still probably doesn't close until '27. And then on the other hand, you're kind of talking about potential slowing around the holidays, typical seasonality would have 1Q down on 4Q. So, are you expecting kind of a favorable demand backdrop that could help you with that 48% in 1Q and really kind of set the pace for yields for the rest of the year? Or is there a chance that by the time we have line of sight on a merger, it's kind of the second half of '26, and you really don't see that benefit you until bid season '27?
Kevin Beth: Yes. No, I think it's a good question. I think it's obviously a little early for us to be getting into 2026. But I would tell you the level of engagement I'm getting from customers and their desire to really start to take advantage of the service opportunities that could exist now is real. To your point, yes, I think as the integration process takes place is when you're really going to see that take hold. That's going to be when you start to be able to get some of the pricing that is probably more aggressive and takes advantage of those transits as well into place. So yes, do I think it will be much more material as the merger is closed and progresses? Absolutely. But I also think we're having those discussions now and customers are certainly highly engaged. And so, there is upside opportunity in '26. I think you frame that with as well the tightening capacity backdrop likely through the regulatory requirements as well as just lower capital expenditures being below replacement levels. I think consumers getting some help with rate cuts and tax benefits. And then as I look at us more broadly, we've got a great balance sheet, great free cash flow, a ton of new business we're bringing on in Final Mile and managed trans and then the great backdrop that we have of a fantastic intermodal service product and additional cost outs. I think it's a good framework for 2026.
Jonathan Chappell: And a super quick follow-up, and I think this was kind of danced around a little bit, but maybe just to speak to it directly. East down 12% you would have thought the East maybe had a little bit of a better comp because of the threat of the East Coast port strikes last year at the end of the third quarter. Is that associated with what's been happening with Norfolk and CSX? Norfolk is your partner. They've directly called out the share shift there. Is that that? Or is it something completely outside of the potential rail merger?
Phillip Yeager: No. Yes, I think it's a good question. We do not believe it's associated with anything going on there. I think if you look at our volumes last year, we were up 39%, I believe, in the third quarter in local East last year. We've seen opportunities to generate really strong returns off the West Coast and been allocating capacity there. I think that Eastern market did get more competitive. But if you look at it on a 2-year stack basis, we're still far exceeding market performance. And so, I think our view is we're still doing very well, but had such significant growth last year that we couldn't quite overlap it. Yes. If you look at the 2-year growth in the East, it's 23%. So still very healthy.
Operator: Our next question comes from Brian Ossenbeck of JPMorgan.
Brian Ossenbeck: Maybe just to be a little more specific on the opportunities. I don't know if you would call the Louisville Lane, an example of something that might be done with the potential merger, but it did sound like that was at least worthy enough to merit the comment here on the call. Is that truckload conversion? Is that related to some of the new services? Can you get a little more detail on that?
Kevin Beth: Yes, yes. I mean on Louisville, in particular, there was a business -- we were actually able to dray over Chicago, which is highly inefficient and not that competitive. So, we're able to improve service, improve the cost structure to our customers, and it's led to us converting business that was ramping Chicago, but also get some new business with customers that we weren't accessing before. So that's exciting. As we think about this watershed opportunity where we've really been at a disadvantage historically, just given transit as well as long-haul dray that isn't matched. We think the opportunity in those lanes is somewhere around 2.5 million loads. So, we're pretty excited about that opportunity as we start to structure those services and think we'll have a differentiated service to go to market with.
Brian Ossenbeck: So, you would this is like an example of some potential watershed opportunities in the future. I guess, what stops from doing more of these in the near-term before you even get to the potential transaction because it looks like that wasn't a critical factor here, still put this out there?
Kevin Beth: Yes, absolutely. I think it's about setting up the single line service, right? And I know there's a focus on creating those partnerships now, but at the same time, being cognizant of the process. So, I think there's certainly opportunities. We're actually in advance of this building out our local drayage network around a lot of those watershed areas. And so that's -- we're trying to make sure we're in a position where as those services are established, we're able to take advantage of them right away.
Brian Ossenbeck: Just one other quick one. Can you just talk about the brokerage restructuring? I think you mentioned earlier, Phil, like what was the cost for that? How long is that going to take? And what's the end result or the metrics you're targeting coming out of that?
Phillip Yeager: Yes. So, we went through the restructuring in the quarter, really didn't take effect until probably near the end. We really didn't really see -- realize much of the benefits until the end of the quarter. And that's what drove the 7% productivity. It was improvement. So, it was really about focusing our team on higher-value services, making sure that we're productive and focused and putting ourselves in a structure where we can make sure we're going after the highest return revenue quality load. And now that we're in that structure, we're very focused on automating everything we can. We've done a really nice job there, but at the same time, going after these more high-value products to help us differentiate and win. So, I think the productivity enhancement that we highlighted is just the start, and the fourth quarter should be a nice improvement on top of that.
Operator: Our next question comes from Brady Lierz of Stephens.
Brady Lierz: I wanted to kind of follow up on a question from earlier about uses of cash from here. You have this potential merger between your 2-rail partners that could be approved sometime in the next 18 months or so. Is there any increased investment in containers or the network that you would need to do in '26 or '27 to kind of support that potential growth? Or will that not come until after the merger is approved, if it is? Just how should we think -- or we expect you to balance investing to support that potential for increased growth versus additional M&A or share repurchases over the next 18 months?
Kevin Beth: Yes. Great. Thanks for the question, Brady. This is Kevin. So, a couple of things. I'll start with the network and a couple of things that we already have underway that was happening before this. We've been upgrading our actual transportation system on the intermodal side all year, and we expect to be on the new platform full bore all of our transactions by the end of the first quarter here in '26. So that investment has been going on regardless of this. The other thing you may recall, we do have staff containers today. So, with the stack containers, and we believe that we can improve our utilization of those stack containers even before the rail merger, we think that we have 30% to 35% additional capacity already in-house. So, there's no additional container requirements for that. And then in the longer-term, as we see some of this quicker service, that will even enhance our ability to use our current fleet to handle more loads. We are seeing, as Phil mentioned, and are thinking about setting our CapEx for next year regarding tractors and replacements and exactly what our drayage network would look like. So, there are some possibilities there. And then last, like we just did with the Marten transaction, we're certainly open to other potential M&As on any intermodal opportunities that are out there if it makes sense for us.
Phillip Yeager: Yes. The only other thing I'd add, I think is the drayage investments are certainly something we're going to be cognizant of and potential buildout of the network, but I don't think that's going to be overly material. But I think our strategy of diversification has certainly benefited the organization and our margins over this prolonged cyclical downturn. And so, as we look at acquisition opportunities at the bottom of that cycle, we think there are good opportunities to keep investing and while making sure that we're positioned to put capital towards the intermodal business as well.
Operator: Our next question comes from Daniel Moore of Baird.
Daniel Moore: Real quick question. I'm curious, from a capacity standpoint, how much excess capacity in intermodal would you say you have today? It strikes me that UPNS, assuming the proposed transaction is approved and goes through, has a very, very healthy appetite for domestic intermodal growth based on the selling points to the STB. I'm just curious how you think about that opportunity set relative to the capacity you have today? And as you explore M&A opportunities, I'm also curious, as a follow-up, what sort of leverage would you feel comfortable taking on?
Phillip Yeager: Thank you. Great questions. Yes. So, I think on the capacity side, if you look at just our stacked containers as they say, it's about 25% of the total fleet. If you then go to -- with just slight utilization improvements that are in line with where we should be operating, that's about another 10% incremental, so 35% capacity. And if we then get reduced transit times, in particular on some of these transcontinental lanes, we think that could be potentially an additional 10% capacity availability. So, you're looking at some significant capacity available for us to absorb growth without having to put additional capital into containers. And I think we're excited about what that could mean for us and the operational leverage that we would have through that. On the acquisition side, I think we've trying to be very targeted, and we try to be very thoughtful in our approach and make sure that it's a good cultural fit, that it aligns with our strategy and that the business is complementary to the organization and is going to be able to be integrated effectively. I think we're currently obviously below our leverage target and -- which is, call it, 1x our net debt-to-EBITDA range. And I think we'd be willing to go up to 2 if we found the right transaction and then be -- make sure that we're in a place where we could delever very quickly once we got to that point.
Kevin Beth: Yes. I'd just like to add, so right now, we have net debt of $136 million. As Phil said, we are willing to leverage up. We did in the second quarter, renewed our revolver and increased that by $100 million as we want to be agile. And if a good opportunity comes that we could act fast. I think we're known in the market as a good M&A partner. And so, we want to be able to take advantage of deals that come up.
Operator: Our next question comes from Jason Seidl of TD Cowen.
Elliot Alper: This is Elliot Alper on for Jason Seidl. Maybe just one question on Final Mile. Can you talk about the new business wins ramping up, why some of those are shifted maybe into the fourth quarter or into next year as well as some more detail on sub seasonality you're seeing in your legacy business? And ultimately, is housing the real kicker for this segment to materially gain traction into 2026?
Phillip Yeager: Well, yes, the housing segment coming back to life would be a huge benefit to this business. And we have gotten some really good builder wins with customers. So that's great, and it's good to see the positive signs there. On the ramp, we were displacing existing providers. And I think with customers, they want to be cautious in making sure there's no disruption to their business as those transitions take place. And so really no more complicated than we had aligned on a schedule and just in being cautious and making sure that the transitions go well. They were moved out slightly. As we have onboarded the business and the vast majority has been coming in, in October, we have seen it ramp to what we thought, which is great. Oftentimes, you think that spend -- the award might be much higher than reality. But in these instances, it's really met our expectations, and some exceeded them as we head into Black Friday. So yes, so we're pleased with how that business is performing. We need to go out and execute for our customers, and it will definitely offset some of that softness, as you mentioned, just with the broader housing market.
Operator: Our next question comes from the line of Tom Wadewitz of UBS.
Michael Triano: This is Mike Triano on for Tom. So, revenue per load in intermodal was up year-over-year in 3Q for, I think, the first time since 1Q of '23. It sounds like mix and surcharges played a factor. But do you have any early thoughts on '26 and where conversations could be starting the year from an intermodal pricing perspective?
Kevin Beth: Yes. I think as we're starting bid season, I don't think a ton has changed, right? It's still a competitive environment. Head haul rates, you're able to take rates up. Backhaul rates are still quite competitive. We have a really good service product and value proposition. And I think we're being really targeted with our rail partners on what we want to go after and being explicit with our customers on that. Only other thing I'd just highlight again is that our customers are really engaged in this merger process. And as they're looking at the potential for capacity tightening, they want to think about how can they build resiliency into their supply chain. And we think that working with us and converting business to intermodal is a great way to do that. And at this point, there's still a very good value proposition that's on the table. So yes, so I would say, generally feeling pretty good about where this season is kicking off.
Michael Triano: Are customers bringing up the non-domiciled CDL and ELP issue? Like do you think that there's interest to potentially convert more volume to intermodal next year in case truck capacity does tighten.
Kevin Beth: Yes, absolutely. I mean I think if you look at it, it's not that it's going to happen overnight, but there is organic exits that are already taking place. You see the CapEx Numbers and Class 8 orders being under replacement levels is something to watch as well. And then you throw the language proficiency, the non-domiciled CDL regulations on top of that, it's incremental and continues to move things along. So once again, it's not overnight, but if demand holds up and the consumer stays resilient and you see this capacity continue to attrit at a faster pace, you could be into more of a tightening cycle, and I think it's certainly in the mind of our customers.
Operator: Our next question comes from the line of Ravi Shanker of Morgan Stanley.
Unknown Analyst: This is Madison on for Ravi. Just first off, I know there's been a lot of focus on tech and AI, particularly in the logistics business, but also kind of just across the industry. I was wondering if you can speak a little bit about the initiatives you have underway and how they differentiate you versus peers.
Phillip Yeager: Yes, sure. So, this is Phil. We have a really good ROI focus and process when we look at investments in technology. Last several years, it's been a focus on establishing the right foundational technologies. And as we've gotten those in place with our businesses, we're then really able to layer in automation. I think this quarter, one that really stands out is our managed transportation business, where you see a 50% improvement in year-over-year productivity. And that's because we enable that team with technology, and they're able to automate tasks and be closer to our customers and take on more through that process. So that's one, I think, great example. Our Final Mile business where we have our call centers is highly automated within our brokerage, we're really focused on our pricing and capacity generation as well as track and trace functions, appointing functions. All those are highly automated processes. And then the last one that I think has really been beneficial to our team here at Hub and just our general productivity is in the communications with our drivers and going in identifying where a lot of those communications and touch points are happening and automating those to put the data and utilize all of our devices to make the right decisions and then having our teams then focus on the exceptions versus touching every single one of those points. So, we believe we have a great road map. It's about getting those foundations in place first and then really attacking those automation opportunities as we can identify them.
Unknown Analyst: And then maybe this isn't as much of a dynamic for you guys, but just wondering if you're seeing at all any kind of impact from the government shutdown?
Phillip Yeager: No, not at this time, no. I mean we have such a consumer-oriented business. We haven't seen an impact.
Operator: Our last question comes from Brandon Oglenski of Barclays.
Brandon Oglenski: And Phil, I know you said it's not going to happen overnight, but I think there's a certain Twitter Ranger out there that might disagree every other night. I'm not sure. But I guess maybe along those lines, it looks like -- I mean, your commentary sounded better on the bid season in the next year, and maybe you want to clarify that, but maybe we can finally get traction on pricing and get margins higher for the industry, too, not just your business. But if we roll into next year and it's like another year of very low-rate increases, do we have to start thinking, hey, this is the fourth year and GDP is up? Like what do we do differently as a business to try to secure better profitability, better returns?
Phillip Yeager: Yes. No, I completely agree. And I think that's what our mantra here has been focused on controlling what we can control. Let's not worry about the cycle, and that's why we're utilizing our balance sheet to invest in growth. We're focusing on taking costs out and driving productivity. We're focused on growing with our rail partners, bringing on new wins across all of our offerings. I think we are really just going out and executing with the mindset that, yes, we aren't going to get cyclical help. And if we do, then that is upside, and we're ready to take advantage of that. But we're certainly not going to be sitting around hoping that, that is the thing, the catalyst that helps improve earnings. We're taking the actions right now, in my view, to position Hub to perform regardless of what the cycle does next year.
Brandon Oglenski: And maybe I'll push this a little bit harder, though, but you did sound maybe a little bit more upbeat on the bid process into next year. Should we take that as maybe potentially better pricing?
Phillip Yeager: Yes. Yes, absolutely. I think there's definitely that opportunity. I think we want to see that capacity tighten. We certainly want to get our foundational network established at the front end of bid season. That's important to make sure we keep winning in balanced lanes, and we do see great opportunities in the head haul right now. So yes, I mean, there's certainly that opportunity. We want to make sure we're driving growth but also making sure we're repairing our margins. So as the pricing opportunity is there, we will certainly be attacking it as well.
Operator: I would now like to turn the conference back to Phil Yeager for closing remarks.
Phillip Yeager: Great. Well, thank you so much for joining our call this evening. We appreciate your time. And as always, Kevin, Garrett and I are available for any questions. Thank you so much, and have a good evening.
Operator: Ladies and gentlemen, this concludes today's conference call with Hub Group. Thank you for joining, and you may now disconnect.